Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Triumph Group's conference call to discuss our First Quarter Fiscal Year 2018 results. This call is being carried live on the Internet. There is also a slide presentation included with the audio portion of the webcast. Please ensure that your pop-up blocker is disabled if you're having trouble viewing the slide presentation. You're currently in a listen-only mode. There will be a question-and-answer session following the introductory comments by management. On behalf of the company, I would now like to read the following statement. Certain statements on this call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause Triumph's actual results, performance or achievements to be materially different from any expected future results, performance or achievements expressed or implied in the forward-looking statements. Please note that the company's reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the press release, which can be found on their website at www.triumphgroup.com. In addition, please note that this call is the property of Triumph Group, Incorporated and may not be recorded, transcribed or rebroadcast without explicit written approval. At this time, I would like to introduce Mr. David J. Crowley (sic) [Daniel J. Crowley], the company's President and Chief Executive Officer; and James F. McCabe, Jr., Senior Vice President and Chief Financial Officer of Triumph Group, Incorporated. Please go ahead, Mr. Crowley.
Daniel J. Crowley - Triumph Group, Inc.: Okay. Thank you, Amanda. Good morning, and welcome to our conference call on Triumph's first quarter results. Triumph made significant progress in Q1 stabilizing performance, resolving problem contracts, strengthening our backlog and balance sheet. Together, these actions set the foundation for both top and bottom line growth in the future. The news this quarter is our settlements. Updating the contracts that were driving our higher-than-normal cash flow over the last few years added over $600 million of cash payments and advances to Triumph to fund operations and pay down debt. More importantly, we negotiated over $1 billion of increased contract value and pricing adjustments across six separate programs so far, substantially all of which are not reflected in our FY 2018 financial outlook. We expect to complete all major contract settlements this year. These are a key enabler to our turnaround and driver of shareholder value. The process of updating our contracts forged stronger relationships with each OEM, allowing us to put the past behind us so we can jointly focus on execution and growth. Triumph is in a fundamentally better place with our customers today than last year. This starts with performance, which enabled us to sign partnering agreements with customers who, a year ago, were preparing to go elsewhere. We moved from being part of the problem to being part of the solution and their future. Our transformation is on track as we further implement the strategic, operational and cultural changes critical to the turnaround and our long-term value creation. Operationally, Triumph's overall on-time delivery performance across our four business units was up year-to-date to 94% towards our goal of 100% on-time delivery. Our quality levels continued to improve as we reduced the cost of poor quality to less than 2% of sales year-to-date. We launched an initiative in Q1 to measure all of our operations against Motorola's Six Sigma criteria to further raise the bar on delivery quality. We're also on track to have our best safety record year in FY 2018 with the lowest recordable injury rate of the last four years. As a result of these improvements, our relationship with our customers continued to strengthen in Q1 as reflected in new wins and opportunities with both backlog and trailing 12 months book-to-bill growing in Q1. Triumph generated $782 million of revenue in the first quarter and reaffirms our sales guidance for the year of $3.1 billion to $3.2 billion. As backlog programs ramp up, we expect revenue to increase in the out years. Operating income was $36.8 million, excluding restructuring, reflecting an adjusted operating margin of 5%, and adjusted earnings in the quarter were $0.24. Our plan is back-loaded in FY 2018, and we expect to see higher earnings as the year progresses, as we rebalance our mix of development and production programs and expand our cost reductions efforts. Triumph forecast a profitable year in FY 2018 with adjusted earnings of between $2.25 and $2.75 per share. This forecast benefits from a rigorous bottoms-up review of all programs and reflects short-term declines in legacy program build rates. While the results of our settlements are not yet evident in our top and bottom line, we continue to position the company for sustained growth, profitability and cash flow generation. Now Jim will cover our segments in more detail, but in short form, our Integrated Systems business generated higher year-over-year operating margins while Product Support saw lower revenue and earnings associated with divestitures and deferred MRO orders. Precision Components op income is down in part due to 777 rate reductions and step down pricing on 787 and in part due to higher restructuring cost. And Aerospace Structures saw lower revenue on sunsetting C-17 and G450 programs partially offset by increases on Airbus and Northrop Grumman programs. Free cash use in the quarter was $111 million. Full year, we forecast free cash use of $450 million to $500 million, but this includes $275 million of customer advance burn off and $200 million of working capital cost to prime the pump on our Structures programs entering production. Absent these uses of cash, we would have been close to cash neutral for the year, not including proceeds from any divestitures or further customer advances we may receive. Turning to slide 4. Our focus on cost reduction continues into FY 2018 after FY 2017's strong results. We've identified $86 million of candidate cost reduction opportunities in Q1 towards our FY 2018 goal of $96 million of run rate savings. Roughly half of our $300 million three-year cost reduction goal comes from our supply chain spend, while factory efficiencies, consolidations and head count reductions make up the balance. We've closed or transferred 377,000 square feet of operation so far, and another 830,000 square feet are underway or planned for consolidation this fiscal year. And we expect similar levels of head count reductions in FY 2018 as last year. We've now deployed 220 lean change agents across all 20 of our operating companies and conducted over 225 lean events in the first quarter alone. They're enabling our improved operational results. Our goal is over 600 lean events for FY 2018. We're now working closely with Bombardier to supply Global 7000 wings per the Bombardier plan in support of their entry into service. As mentioned on the last call, resolution of our contracts issues occurred in late May and resolves all outstanding commercial disputes. It resets the relationship between our companies. It allows both firms to better achieve our business objectives going forward. We reached a preliminary omnibus agreement with Gulfstream across the many programs that we support, which will be implemented in the second quarter, which will ensure program deliveries are met while creating the conditions for long-term profitability on their programs. We're implementing last quarter's settlement with Boeing. And as announced yesterday, we concluded a second contract settlement for system components, such as hydraulic and mechanical actuation assemblies for legacy and next-gen aircraft, including the 737 MAX and 777X. Note that 737 is our largest program in Integrated Systems. These awards are a direct result of our recent partnering MOA with Boeing. And we look forward to adding new contracts from Boeing defense and global services as well. Price increases and contract extensions, the majority of which are not reflected in our Q1 results, our FY 2018 guidance or the backlog forecast, will benefit future cash and operating margins as we make deliveries. Consistent with the conservative accounting principles, we will maintain low booking rates on programs transitioning from development to production until we've retired remaining development risks and increased rate. We also negotiated performance incentives across individual contracts that provide further cash and profit pickups when we make deliveries within customer need dates, and the capture of such incentives are not included in our FY 2018 forecast but represent upside in the future. In the quarter, we also amended our bank agreement in cooperation with our bank group, providing the flexibility to complete our restructuring at the lowest possible borrowing cost. On slide 5, I provide an update on our third imperative, driving organic growth. Our success in winning dual source and takeaway programs enabled us to increase our backlog by 5.4% in the quarter to $4.2 billion, despite wind down on legacy programs. Our average competitive win rate is now above 50%. And as mentioned, our overall trailing 12-months book-to-bill is 1.1 with Integrated Systems achieving a book-to-bill of 1.2 in the quarter. Competitive wins included Pratt & Whitney's F-135 complex composite engine ducts, machine details for GE's commercial and military engines and the CH-47 helicopter frame details for L-3. Building on our strategy of replacing incumbents to accelerate revenue, we won several key takeaways, which are expected to exceed $90 million in value from Lockheed Martin for the development and qualification of key F-35 system components and from United Technologies for key engineered components for the A320neo and a V-22 multiyear contract was a key follow-on award for the quarter for our Structures business. We also recently signed an LTA with Safran to provide thrust reverser cowl opening actuators for the A320neo LEAP-1A engine nacelle. This is an important LTA for our Fluid Power and Actuation operating company. This is financially the strongest company in our portfolio. As we win short-cycle contracts, we're also actively engaged on the longer cycle new starts. We're supporting prime bids on the T-X Trainer, the MQ-25A refueling drone and the OAX light attack aircraft as well as several undesignated black programs. Turning to page 6. The tailwinds for FY 2019 through 2021 are encouraging after several years of headwinds for the company. FY 2018 is our trough year for revenue, cash flow and margins. FY 2019 through 2021 will be follow-through years that benefit from the hard work to improve operational and business development performance. Starting with orders, we expect follow-on awards across all four business units and new long-term agreements in the aftermarket space in support of the OEMs and operators. Programs already in our backlog will generate year-over-year revenue with new wins accelerating this trend. Sales will benefit from the Embraer E2 Global 7000 and new Gulfstream programs as they transition from development to production, even with conservative ramp-up assumptions. Note that four out of five of our largest programs, the 737, 767, 787 and A330, are increasing in rate with only the 777 declining in rate. We're also planning for increasing rates on the Global Hawk/Triton programs and the A320neo over the next three years. Out year cash flow will benefit from reduced development spending, which is already forecasted to come down from $200 million last year to less than half that amount this year. And customer advance repayments will also be lower over the FY 2019 to FY 2021 timeframe. And finally, we forecast increasing operating margins as we complete factory and organizational consolidations, transition from zero-margin development programs to production margins and see the full benefit of the Triumph operating system. So, in conclusion, Triumph's three imperatives of delivering on commitments, becoming predictably profitable and driving organic growth continue to guide everything we do. Jim McCabe will now provide further details on our current performance and full-year outlook. Jim?
James F. McCabe - Triumph Group, Inc.: Thanks, Dan, and good morning, everyone. Our first quarter results were largely as we anticipated. More importantly, we continue to set the stage to grow our sales and improve our profitability and cash flow next year. On slide 7, you'll find our consolidated results for the quarter. As expected, our net sales were down compared to the prior year first quarter due to the end of the production on two large legacy programs, C-17 and the G450, and the gradual wind down of several others. Our revenue is on track with our plan and earnings ramp up in the second half of the year. With respect to the segment results, on slide 8 sales in our Integrated Systems segment were 7% lower than the prior-year quarter due in part to the impact of our Newport News divestiture, which contributed $5 million to last year's first quarter. Additionally, rate reductions on the 777 and the A380 and the timing of deliveries on certain programs contributed to the year-over-year sales decline. Integrated Systems operating margin increased 130 basis points to 20% despite lower sales, due in part to the favorable resolution of open assertions with several customers. Integrated Systems continues to expand its backlog during the first quarter, with a book-to-bill of nearly 1.1:1 (sic) [1.2:1], driven in part by awards to provide additional content for the A320neo and F-35 Joint Strike Fighter. On slide 9, first quarter sales for Product Support segment were down 6% on an organic basis, which excludes the impact of the divestiture of the APU businesses. The organic decline relative to last year was driven by deferred maintenance on the part of some of our major customers. We expect to see that volume later this year. Margins were negatively impacted by the restructuring costs, sales mix and by two-step closing of the divested APU business, which resulted in revenues related to that business being included in the quarter's results at zero margin. Turning to our Precision Components segment on slide 10. Sales were down 7% from continued lower production rates and pricing on the 777 as well as lower pricing on the 787. Segment book-to-bill was 1.02:1, reflecting increased orders for the F-35. Precision Components margin modestly improved over the first quarter of fiscal 2017 and included the benefits of our cost reduction initiatives, which involved two site closures that were completed ahead of our initial schedule. These benefits were temporarily offset by restructuring expenses. Our restructuring efforts will continue throughout 2018 as part of a process that we have been carrying out in conjunction with our customers, who fully support our plans. On slide 11, sales in our Aerospace Structures segment declined 17% year-over-year, in line with our expectations for the completion of the C-17 and G450 programs and continued rate reductions on the 747-8 and G550 programs. Segment book-to-bill was 1.1:1, supported by follow-on award for the V-22 at our Red Oak facility. Aerospace Structures posted an operating loss in the first quarter primarily driven by lost fixed costs absorption on the lower volume. Turning to slide 12, free cash flow use was $111 million during the quarter. As we discussed on our fourth quarter call, over the course of fiscal 2018, we will be working down the majority of the $324 million in customer advances that we received last year, which is a planned headwind to our cash flow as we move through the year. Capital expenditures were $12 million in the first quarter. With respect to other cash uses during the quarter, we used $18 million for restructuring and invested $32 million for development programs. Development spending is down 41% compared to our first quarter of fiscal 2017 as we complete development of the Global 7000 Embraer E2 programs. We expect cash use to continue to decline as we move towards the production phase of these programs. On slide 13 is a summary of our capitalization, leverage and liquidity. Our net debt at the end of June was approximately $1.3 billion, and our senior secured leverage ratio is 2.15 times, well within our 4 times covenant limit. Our cash and liquidity are sufficient for our needs at about $600 million. On slide 14 is a summary of our FY 2018 guidance. Based on current aircraft production rates, we continue to expect fiscal 2018 revenue to be approximately $3.1 billion to $3.2 billion and to increase in fiscal 2019, as production and backlog growth more than offsets sunsetting programs. We also announced additional guidance in our press release earlier this morning, which is summarized on slide 14. Based in part on our assessment of the impacts of our recent customer contract settlements and excluding the impact of any potential divestitures, we expect fiscal 2018 adjusted earnings per diluted share to be in the range of $2.25 to $2.75 and free cash use for the year of $450 million to $500 million, which includes $275 million related to the burn off of customer advances and $200 million of Aerospace Structures working capital. Excluding these two items, we are forecasting to be cash neutral in FY 2018. The pro forma free cash chart on slide 14 represents, in our view, a more accurate picture of our FY 2017 and FY 2018 free cash flow. In FY 2017, we received $324 million of advanced cash payments from customers. These were effectively deposits for future product we would ship to them. This increased reported cash flow in FY 2017. In FY 2018, we will deliver product to our customers and the invoices will be offset by $275 million of advanced payments, thus using our deposits from customers. In FY 2018, we'll also be ramping up production on those two programs we mentioned, which will increase our inventory by $200 million. As you can see, when you adjust for these activities, our free cash flow is in a better position in 2018 than it was in 2017, and that's before any restructuring costs. Our guidance assumes a 26% tax rate for the interim quarters and 6% rate for the year. Cash taxes will be about $10 million for the year and we are assuming capital expenditures in the range of $80 million to $90 million, which includes not only sustaining investments, which are about half that, but investments in operational efficiencies, new technologies and growth. We expect earnings to be higher in the second half of the year due in large part to ramping production programs and second half tax benefits. To conclude, with one quarter of fiscal 2018 behind us, our financial performance is tracking with the expectations we had headed into the year. And we continue to move the ball down the field with our transformation process. We're particularly pleased with the progress we've been making in resetting our customer relationships to enable us to better support them across a variety of major aircraft programs, and we appreciate their willingness to work with us as long-term partners. With a growing profitable backlog and cost reduction initiatives progressing throughout our operations, we're confident that we're laying the groundwork for profitable organic growth and sustainable positive free cash flow. Now I'll turn the call back to Dan who will make some concluding remarks. Then we'll move on to your questions. Dan?
Daniel J. Crowley - Triumph Group, Inc.: Yeah. Thanks, Jim. Our Integrated Systems had a strong quarter, and we expect both Integrated Systems and Product Support to quickly grow back the revenue associated with last year's divestitures. And both business units enjoy strong customer pull and are a strong source of op income and cash for the company. However, results in our Components and Structures business must and will improve. I recently announced our new EVP for Precision Components, Pete Wick. Under his leadership, the Components team will stabilize performance this year and continue their consolidation and cost reduction efforts to enhance competitiveness. Our Aerospace Structures business, having worked through rate cuts and development program challenges for the last several years, is now positioned for positive financial performance in the future based on the strength of our operational improvements and updated contracts. After two divestitures in FY 2017, we expect to make further changes in our portfolio, consistent with our prior plans that will reduce debt, improve our overall margins and allow us to allocate more time and resources to our core businesses. As our growing backlog translates into sales, the operational improvements associated with Triumph operating system will drive both cash and margin performance. In summary, we made great strides in Q1 dealing with issues from the past and we are setting the foundation for the future. And at this point, we're happy to take any questions you have. Amanda?
Operator: Thank you. At this time, the officers of the company would like to open the forum to any questions that you may have. Ken Herbert, please state your affiliation followed by your question.
Kenneth George Herbert - Canaccord Genuity, Inc.: Canaccord. Hi. Good morning, Dan and Jim. Hey, just wanted to start off and ask obviously you've done a great job, Dan, of setting expectations in terms of the contracts with your customers and it sounds like reaching agreements across most of the major programs. Can you just reset again where you stand in terms of what might still be outstanding, in terms of the negotiations that we should expect this year? And how that could potentially impact the guidance, specifically the free cash flow, for the year? And then as a second part of this, specifically with Boeing with the agreements you've just announced yesterday, or this week, can you provide any more details on what the puts and takes are for those for you in terms of the long-term visibility, but maybe what some of the tradeoffs may have been around those in terms of the work scope? Thank you very much.
Daniel J. Crowley - Triumph Group, Inc.: Yeah. Thanks, Ken. So, we're down to the end of the last few contracts that we need to update, I'll call the larger ones that were the most problematic, both for the OEM as well as for us, are done. And I'm looking forward to closing out the last few. They're smaller, and we don't expect them to have big swings on free cash flow through the balance of the year. However, they will improve our out year margin performance, because some of these remaining contracts are still loss making. So, fixing them is important. In terms of the Boeing settlements, of course all the OEMs have asked that we not provide specifics about their individual settlement. That's why I talked, in aggregate, about how much cash and contract value and price adjustments we got. What I will say is that Boeing was happy to do a second settlement after the one we did in April. And the second settlement that was just announced expanded the number of programs. It went from a focus on structures more into integrated systems, and it allowed a multiyear contract extension on the two programs that I mentioned. And yes, we have to contribute to partnering for success, but these programs are still profitable for us, and we're glad to be a partner with Boeing going forward. Jim, anything?
James F. McCabe - Triumph Group, Inc.: No. I think that covered it, Dan. Thanks.
Daniel J. Crowley - Triumph Group, Inc.: Okay.
Operator: Thank you. Our next question is from the line of Sam Pearlstein. Please state your affiliation followed by your question.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Good morning. Wells Fargo.
Daniel J. Crowley - Triumph Group, Inc.: Good morning.
Samuel J. Pearlstein - Wells Fargo Securities LLC: I'm surprised because you had announced the Bombardier settlement post, I guess, the end of the last fiscal year, that it doesn't look like there was any financial benefit in terms of cash or advances or anything. I know you don't want to talk about each individual one, but is there something different about that, or did something kind of end up in the March quarter that we didn't see here?
Daniel J. Crowley - Triumph Group, Inc.: So, nothing in the March quarter. Our settlement was reached after Q4 ended. And again, we've been asked by our OEMs not to provide specifics. What I can say is that we had a fulsome robust negotiation. And we addressed issues of the past, the present and the future. And we addressed pricing, as well as cash, as well as deliveries. And I can assure you that Bombardier has high expectations for Triumph now that we've resolved our disputes. And we also did some things that really helped us create a Joint Program Office so that we run this program through its completion, I think, in a more efficient and effective way for the two. That's what I'm most encouraged about, because the first few years of the contract I don't think that we were operating as efficiently as either party wanted. So there's more in there than just the dollars. But, Jim, anything to add?
James F. McCabe - Triumph Group, Inc.: Yeah. Thanks, Dan. Sam, the impact of our settlements obviously spans multiple periods. It's not just in any one quarter. And most of the impact of our settlements is not even in this year. It's in backlog. But within the quarter, any customer settlement impacts, any reduction in customer advances, any build or production inventory is all included on the change of working capital usage. So, on page 12, there's a number, $79 million of usage. That would all be in the mix in there. But as Dan said, we're not calling out specific impacts of any one kind. So, rest assured that the overall settlements did give us the business cases we needed over the long-term.
Samuel J. Pearlstein - Wells Fargo Securities LLC: Okay. And relative to the remaining negotiations, if you get to the point where you'll get to those agreements and you net it all together, should fiscal 2019 be a cash positive year?
James F. McCabe - Triumph Group, Inc.: Our goal is to be cash positive in fiscal 2019.
Operator: Thank you. Our next question is from the line of Cai von Rumohr. Please state your affiliation, followed by your question.
Bill Ledley - Cowen & Co. LLC: Hi. Good morning. This is Bill Ledley on for Cai from Cowen. Just a question on the $275 million of advances, do those relate entirely to the advances from last year, or is the Bombardier settlement included in the $275 million?
Daniel J. Crowley - Triumph Group, Inc.: Yeah. Hi, Cai. The $275 million is a reduction in advances that we received last year exclusively, but we're not...
Bill Ledley - Cowen & Co. LLC: Okay. And what was the impact to the quarter from the advances of the $79 million?
James F. McCabe - Triumph Group, Inc.: That's in the mix in the working capital usage, but we didn't call the specific amount out.
Operator: And our next question is from the line of Myles Walton. Please state your affiliation followed by your question.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Deutsche Bank. Thanks. Good morning.
Daniel J. Crowley - Triumph Group, Inc.: Good morning.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Maybe to ask on the cash flow side. So the underlying cash flow, you plan to break even, and I think, Jim, you talked about the kind of cash conversion being maybe in line with adjusted EBITDA less CapEx. And so, I'm just curious, it looks like adjusted EBITDA is probably a couple-hundred-million-dollars for this year. Is that right ballpark? And what's the walk to get to zero versus the couple-hundred-million-dollars of adjusted EBITDA? Thanks.
James F. McCabe - Triumph Group, Inc.: Yeah. That's a good question. Some people ask me about what's normalized cash flow. So, I would say that normalized cash flow is in the range of $200 million when we take the pieces all apart. We're coming out of the restructuring. That's what we're looking for in a base of cash.
Daniel J. Crowley - Triumph Group, Inc.: I'll add to that, Myles. I think one thing you can count on with the new Triumph leadership is that we're going to find ways to get there at year-end. And we did that last year working hard to get cash. This year, the focus is on execution on all these settlements. Although we are showing high use of cash this year, I mentioned that many of those causes are coming down year-over-year. And we're looking forward to getting past these two years of up and down sources and uses of both cash and profit, restructuring and whatnot, so we can get to a cleaner financial forecast. And that's something that we know you all want and it makes it difficult to model the company, and we're looking forward to getting there soon.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: So, Jim, what is the EBITDA as defined or as adjusted for the year in terms of guidance?
James F. McCabe - Triumph Group, Inc.: I don't think we've given adjusted EBITDA guidance. The guidance we've given is in the press release and in the presentation, which was the EPS of $2.25 to $2.75. And that's adjusted EPS, which would be adding back restructuring charges.
Operator: Thank you. Your next question is from the line of Sheila Kahyaoglu. Please state your affiliation followed by your question.
Sheila Kahyaoglu - Jefferies LLC: Hi. Good morning. It's Jefferies. So, can I just clarify one quick thing on the $600 million that you stated on page 4 in terms of the contract settlements, does that include the $324 million cash advances last year? And does the settlement show up as a cash number eventually? Or I think you're just trying to say it shows up in backlog and margin productivity going forward?
Daniel J. Crowley - Triumph Group, Inc.: So the $600 million included advances, catch-up payments that were for deliveries already made for which we hadn't been paid and additional cash payments for settlements. So, all of those in aggregate. And I want to make clear that both those numbers, $600 million and $1 billion, are only for the settlements that we achieved to-date, and we still have additional settlements to go. So, we expect that number to grow. And they don't reflect our preliminary agreement with Gulfstream.
Sheila Kahyaoglu - Jefferies LLC: Okay. And then just on the Global 7000 or just – on the Global 7000 specifically, is the total development spend and the inventory spend $200 million? Or the production buildup is separate from that $200 million? And then just more broadly speaking over the medium term, what do you think about your consistent level of development spend or R&D that's required?
Daniel J. Crowley - Triumph Group, Inc.: So, I'll start and Jim please add in. So, it's separate. We have development spending that's ramping down rapidly. This is really the last big year of closing out the certification documents. The aircraft are flying. The feedback we've gotten from Bombardier is very positive. Now they've got three aircraft in the air. What's exciting about the program is the next few aircraft have the full interiors, and have all the advanced features that are in the design. And Bombardier is giving us positive feedback on the performance of the wing. The big chunk of spending we're doing now is to prime the pump for the ramp up. So, you go out and you let fairly large lot quantity purchase orders that are still higher on the price curve, the early purchase orders are higher and then you have price step-downs with all the suppliers. So, there's sort of an unusual bubble of spend now that the design is matured and you're releasing POs in support of the ramp. So, we don't expect that same sort of level, it'll come down both in volume and in price per supplier. And then it'll go up in time as the rate increases. But the two, call it, the two dollars (34:00) are separate.
James F. McCabe - Triumph Group, Inc.: Yeah. Sheila, we said last year was about $200 million of development spend, this year it's going to be less than half of that. I'd say, $65 million to $100 million range on the development spend to complete the programs. And then the $200 million is independent of that, and that's primarily inventory. But it's over working capital, little bit of receivables in there that's specific to growing those programs that are shifting into production, primarily Global 7000 but E2 as well.
Operator: Thank you. Our next question is from the line of Peter Arment. Please state your affiliation followed by your question.
Peter J. Arment - Robert W. Baird & Co., Inc.: Yes. Baird. Good morning, Dan and Jim.
Daniel J. Crowley - Triumph Group, Inc.: Good morning.
James F. McCabe - Triumph Group, Inc.: Morning.
Peter J. Arment - Robert W. Baird & Co., Inc.: Just, Dan, could you kind of give us an update on kind of the lease or quantify the size of what the divestitures or expected proceeds? You've had an ongoing kind of overall plan, but is there any kind of a way to offset that in terms of what the cash drain is this year?
Daniel J. Crowley - Triumph Group, Inc.: So, we still expect the divestitures in this first wave, which had two last year and then a few more this year, to be less than 10% of revenue. And it's mainly focused on noncore underperforming businesses. So, we'll see what the market brings for assets as we go to market. We've engaged investment bankers. Right now, as you know, there's a pretty strong market for A&D properties. We're looking for those businesses that are better positioned with others. That was the case last year with the engine APU, a divestiture that went to a private equity buyer, and the same with the engineering services company we sold. So, we'll give more clarity on this as these deals roll out. And then longer term, our focus is to increase the value of all of our remaining 20 operating companies. And we'll make choices over time, but right now our focus is increasing the value of what we've got.
Peter J. Arment - Robert W. Baird & Co., Inc.: Got it. Appreciate the color. Thanks, Dan.
Daniel J. Crowley - Triumph Group, Inc.: You bet.
Operator: Our next question is from the line of David Strauss. Please state your affiliation followed by your question.
Matthew C. Akers - UBS Securities LLC: UBS. Hi. Good morning. It's actually Matt on for David. Thanks for taking my question.
Daniel J. Crowley - Triumph Group, Inc.: Good morning.
Matthew C. Akers - UBS Securities LLC: So on Global, I guess, your settlement with Bombardier, assuming that terms are a little bit better there in that program, is there any chance that you could potentially be in a position to reverse some of the prior forward loss you've taken on that program? Or is that not something that we should expect?
James F. McCabe - Triumph Group, Inc.: Well, we don't get to recognize income on that program until we go into production, and we're just starting production now. And that's part of the driver for our second half improvement is, when we start to go into production, preproduction costs are primarily all capitalized. So there was a reversal, I think it was a year ago, it was an accrual for forward losses on that. And I guess, I don't think about reversing forward losses. I think about recognizing what we have in revenue relative to the cost on the books. So, no, I don't anticipate any reversal of forward losses.
Matthew C. Akers - UBS Securities LLC: Got you. Okay. And then could you give us a way to sort of think through the 747 cash burn as that program winds down? How will that sort of trend here going forward?
Daniel J. Crowley - Triumph Group, Inc.: Programmatically, we're supporting Boeing's build rate plans for 747. The program is performing well, meaning schedule and quality. We've had some pickups in the last few quarters based on that performance. And as part of our agreement with them, we're maintaining a slightly higher than planned build rate that allows us to operate more efficiently. Now at some point, when we fulfill our contract obligations on the program in the out year, we will have costs associated with closing those factories, but that's still years away. So, in the near-term, focus is on just delivering on the commitments.
James F. McCabe - Triumph Group, Inc.: I don't think there is a significant cash drain from that program this year. And then we get into the out years, we can start to talk about the breakdown of that outlook.
Operator: And our next question comes from the line of Seth Seifman. Please state your affiliation followed by your question.
Unknown Speaker: JPMorgan. This is actually Ben (38:37) on for Seth.
Daniel J. Crowley - Triumph Group, Inc.: Good morning.
Unknown Speaker: Just one more question about Global 7000. Is there any color that you guys can give about maybe building any deferred balance or reaching kind of cash flow positive on the program down the road?
Daniel J. Crowley - Triumph Group, Inc.: So, I don't think we can give any specific numbers yet. I'll describe the knobs and levers the affect that. So, in order for us to be cash flow positive, two things have to be true. We have to reduce material cost on the bill of material. As each block of parts are released to the supply chain, we've got to negotiate better prices. And then we've got to come down a learning curve on the labor assembly that we do to build a wing. And we have to do both of those things on a profile that's lower than the prices that we've agreed to with Bombardier. And so because we're early in our deliveries, we're starting to make production ones, the ability to say the confidence in our role is so wider around learning curve performance. But what I will say is that we've started to attack the supply chain costs, the material costs. And this quarter, we had a pickup associated with that. And as we release more purchase orders, we expect to further improve our business case starting with the supply chain part. And then as we deliver more wings off the line, then we can dial in the EAC for the labor portion, which then allows us to reduce cost, lower the prices that were paid, and therefore generate cash. So, as I mentioned, it's still early. And we're going to maintain low booking rates on the program until we step up. In fact, we're maintaining right now zero booking rate, and then over time we can step that up as we make deliveries.
Operator: Thank you. Our next question is from the line of Matt McConnell. Please state your affiliation followed by your question.
Matthew McConnell - RBC Capital Markets LLC: Thanks. It's RBC Capital Markets.
Daniel J. Crowley - Triumph Group, Inc.: Morning.
Matthew McConnell - RBC Capital Markets LLC: How much of the restructuring savings that you're generating go to EBITDA improvements versus allowing you guys to bid more contracts more aggressively, or maybe some of it gets passed on to customers as savings? But is there a way that we should think about how much of the restructuring actually drops down to your bottom line?
James F. McCabe - Triumph Group, Inc.: Yeah. Hey, Matt. What we always say internally is that if we didn't do it, we wouldn't get any of it. So, 100% of it drops to the bottom line. But I understand your question, because there is competitive pressures that are making us bid a little bit lower and drive our costs down for our customers. So, a rule of thumb that I've used before is, I can expect about a third of that to make its way to the bottom.
Matthew McConnell - RBC Capital Markets LLC: Okay. Okay. Thanks. And then separately on the senior secured leverage ratio 2.15 times now, where does that go under your planning assumptions for fiscal 2018?
James F. McCabe - Triumph Group, Inc.: Well, we have sufficient liquidity for fiscal 2018 right now. So, I don't have the exact amount, but it will be less than the 4 times.
Operator: Thank you. Our next question is from the line of Michael Ciarmoli. Please state your affiliation followed by your question.
Michael Ciarmoli - SunTrust Robinson Humphrey, Inc.: SunTrust. Good morning, guys. Thanks for taking the question. Maybe just more on the free cash flow guidance, Jim. Are there any asset sales assumed in the cash flow guidance for this current year?
James F. McCabe - Triumph Group, Inc.: Excellent question, but there are not. This is before any potential divestitures.
Michael Ciarmoli - SunTrust Robinson Humphrey, Inc.: Okay. And then just, you mentioned that normalized $200 million. That implies something substantially higher, if I looked at a net income to cash conversion. I mean, how do we think about – you call out the production build of $200 million, but the nature of this business presumably is going to have ongoing working capital investment. I mean, can you give us any more, maybe a longer term guidepost in terms of maybe what conversion this business could be accounting for as you guys look at the sales funnel, if there's new programs that are going to require future investment? I mean, what do you guys think a realistic conversion rate is for cash on this business?
James F. McCabe - Triumph Group, Inc.: Yeah. It's a good question. I haven't looked at it on a conversion rate basis, but what I can say about it is, I did look out to see – once we stabilized through the restructuring, we've completed most of the restructuring. We have a clean year. Our first clean year would look to be in the $200 million free cash flow range. So, to me that's what normalized was. The programs that we're bidding on now don't have anywhere near the cash requirements. And we're structuring them purposefully to make sure that they're diversified and balanced, and have modest cash investments with quick recoveries, because we just can't afford to make big bets like we have in the past. So, we do feel that that $200 million is sustainable coming out. And as we grow, that's only going to increase. There's levers we can pull. As I mentioned, CapEx is $80 million to $90 million is our guidance for the year. We haven't been spending that much. And maintenance is probably half of that amount. So, we can adjust how much CapEx we spend so that some of the growth CapEx may be funded by customers. And that's what we're looking for, is finding ways to increase our cash flow through negotiation and positioning of the businesses.
Daniel J. Crowley - Triumph Group, Inc.: Yeah. In the last earnings call, I talked about our inventory reduction program. We set a goal of $100 million of improved working capital, and that will help to be an offset to what we spend on ongoing supply chain costs. We're not as efficient as we need to be on working capital yet. So, it's a key focus area for us.
Operator: Thank you. Our next question is from the line of Krishna Sinha. Please state your affiliation followed by your question.
Krishna Sinha - Vertical Research Partners LLC: Yeah. Vertical Research Partners. Specifically on the Aero Structures business, you talked about some fixed cost absorption there. I guess a two-part question would be, what are your volume assumptions going forward on that? And maybe on the fixed costs side, how much fixed costs, or are you planning on taking more fixed costs out of that side of the business? I'm just trying to get a sense of what the underlying sort of profitability and growth can be in that part of the business.
Daniel J. Crowley - Triumph Group, Inc.: Yeah. The short answer is volume going up, fixed costs coming down. The business had seven locations. In fact, if you go back further when Triumph first acquired it, they had a huge facility in Dallas that had over 3 million square feet. And we're going to continue to right-size that business, as development program spending comes down that will also help lower costs. And we're deploying Lean. They were sort of doing fledgling efforts on Lean deployment. And now it's getting a majority of our focus, whether it's Global Hawk, or G650, or Global 7000. And those programs drive the volume over time. So, it is a trough year for them on revenue, but it will go up. Jim, any comments?
James F. McCabe - Triumph Group, Inc.: No. Obviously we talked about taking costs out and we're going to be aggressively doing that to adjust for the decline in volume. Now it just can't happen instantaneously, because we do have to wind down these programs.
Krishna Sinha - Vertical Research Partners LLC: I guess, yeah. Just more specifically on that, I guess the real question is, are you building anything in on build rates that's more conservative than the OEMs? And then on the fixed costs, just can you give us relative sizing on how much you think remains to be taken out of that business, once all is said and done?
Daniel J. Crowley - Triumph Group, Inc.: Yeah. We take what the OEMs give us. And for the purposes of factory planning, we count on that rate. But for the purposes of financial forecasting, we discount it. And people have different handicaps of various commercial and military programs, and we do that internally as well. So that if there are small pullbacks, we still can make our numbers. But we also don't want to be caught short in capacity should those quantities realize. I'll tell you we just came back from the Paris Air Show. And the theme of the show was support our ramps. And there was no end in sight in the current extended cycle of commercial demand. You all have read about the announcements from Boeing and Airbus and others. So, at the same time, we hedge their forecast slightly, we also want to be ready for the ramp up. That's why we've invested so much in working capital and in fixed assets for structures for the ramps.
Operator: Thank you. And we do have follow-up question from the line of Cai von Rumohr. Your line is open.
Bill Ledley - Cowen & Co. LLC: Hey. Thanks for getting me in a second time. Just had a couple follow-ups. Is it possible to provide the restructuring expenses by segments? I think you called out it impacted a few of the segments. Was just wondering the magnitude of each of those.
James F. McCabe - Triumph Group, Inc.: We do disclose that. And restructuring by segments, so it was $18 million in the quarter. Corporate was about $10.5 million. There's about $4.5 million in Precision Components; $1.4 million in Aerospace Structures; $1.2 million in Integrated Systems; and about $0.8 million in Product Support. But this will all be disclosed in the Q, it'll be filed by end of the week.
Bill Ledley - Cowen & Co. LLC: Okay. Thank you. And then just on the effective tax rate of 6%, does that include the adjustments for restructuring, or is that more of a GAAP number?
James F. McCabe - Triumph Group, Inc.: I'm sorry could you – oh. The 6%?
Daniel J. Crowley - Triumph Group, Inc.: The 6% tax rate.
Bill Ledley - Cowen & Co. LLC: Yeah.
James F. McCabe - Triumph Group, Inc.: It's GAAP, right? It's a GAAP number. The way our taxes work, we can't realize the full year benefits until the fourth quarter. We have to use a normalized tax rate during the interim quarters. So, but it is a GAAP number.
Operator: Thank you. And since there are no further questions, this concludes the Triumph Group First Quarter Fiscal Year 2018 Earnings Conference Call. A replay will be available July 26, 2017, at 11:30 a.m. Eastern Time until August 1, 2017 at 11:59 p.m. Eastern Time. To access the replay, please dial 800-585-8367 or 404-537-3406. Thank you all for your participation, and have a nice day. All parties may now disconnect.